Mor Weizer: [Started Abruptly] …trajectory in the years to come. Playtech has transformed in recent years into a much higher quality business, and today, I will outline our strategy and how we plan to deliver shareholder value. Looking forward, I’ll outline our strategy and explain how we expect to drive revenue growth and expand margins for both the B2B and B2C divisions. Turning to slide four. I will recap H1 before handing over to Andy to update you on the excellent financial performance in the first half of the year. I want to update you on the five strategic priorities for 2022 that we outlined at the full year results back in March. We continue to consolidate our footprint in Latin America. Caliente in Mexico remains our number one customer. We expect Wplay in Colombia to increasingly contribute to growth within the region. Finally, we are extremely excited about Brazil, given the large addressable market size and our favorable position in the market, Galerabet by entering new states and adding new customers. We signed several new deals with operators, including WynnBET, Golden Nugget, Resorts, 888 and NorthStar amongst others. We migrated Parx of the platform of a key competitor in the home state of it in the U.S. and Ontario in Canada. Further applications are progressing in other U.S. states. We now have over 120 employees in the U.S., including the hiring of a talented Chief Commercial Officer. As I’ve said before, our investment in the U.S. won’t be to the level of B2C operators, but the size of this team in the U.S. is evidence of our confidence in the business and we are excited to have opened a live facility in Peru, which will allow us to take advantage of further growth opportunities within the LatAm region. We also added 50 new brands to our SaaS platform, bringing the total to over 300 since launching the offering. This Snaitech business continues to exceed our expectations and it has maintained its number one market share in Italy. It has transformed post-pandemic into a higher margin and less capital-intensive business, given the acceleration to online during the COVID-19 pandemic. Finally, we have made further progress on our sustainability success strategy to drive our ESG commitments. The Public Policy Board committee set up last -- a late last year has already met 5 times as it ensures the right measures are in place to implement ambitious targets to meet our sustainability goals, while we continue to grow the Playtech Protect offering. Finally, we are providing long-term assistance for Playtech employees and their families that have been affected by the Ukraine crisis. I will discuss the Ukraine situation further on the next slide. We have over 700 members of the Playtech family based in the Ukraine, and the safety of our people and their families remains our biggest priority and the Group continues to provide support. Playtech response to the crisis driven by its employees, included 24x7 support, including transportation, accommodation support for those displaced, supplies and shelter, logistical assistance and mental health and well-being support. On the business side, operations were minimally disrupted due to the robust business continuity processes in place. Any critical infrastructure in the Ukraine was relocated prior to the crisis as part of key site [ph] to ensure business continuity. Before handing over to Andy for a review of the financial performance, I just want to say, I’m incredibly proud of how our Playtech employees have responded throughout the crisis and it’s a times like this that make me proud of the family culture that we have at Playtech. I now hand over to Andy. Thank you.
Andy Smith: For those of you who think I have been a nervous breakdown finally, I am weighing trying [ph], because I got a very bad back, so I apologize. Thanks, Mor. I’ll start on slide seven with the financial highlights and what was an impressive performance in H1. Adjusted EBITDA came in at €204 million, with a very strong performance from both B2B and B2C. The B2B performance was driven primarily by regulated markets with the Americas and Europe, in particular, seen impressive growth. Within the B2C segment, the online segment continues to show strength despite the retail -- the reopening of retail sites in Italy, the combination of which led to adjusted EBITDA growth of 143% in B2C. Cash generation was also very strong in the period, further strengthening our balance sheet. The strong cash generation was supported post period end by the proceeds from the Finalto sale with leverage now well below 1 times. Looking forward, momentum has continued into H2 with both July and August seeing very good growth, and whilst mindful of the economic risk, we feel confident for the remainder of the year. Moving on to slide eight, I’ll highlight the key figures in the half. Group revenues grew 73% compared to a COVID impacted H1 2021. This was driven by the B2B division, which saw revenue growth of 148% and B2B Gambling where revenues grew 17%. Group adjusted EBITDA came in at €204 million, with B2C growing 143%, while B2B grew 7% in the period. Extradition in the B2B business saw this year. Turning to slide nine, looking at more detail within the B2B division. Total B2B Gambling revenue saw growth of 17% and 13% on a constant currency basis in the half to €312 million. This was 11% on an underlying basis, defined as being online only and excluding sports. The primary driver was in -- was within regulated markets, which grew 31%, where the Americas saw revenue growth of 50% and Europe was at 39%. The strong performance in the Americas was driven by Caliente and this business continues to outperform, where they were increasing contributions from other customers such as Wplay in Colombia. In Europe, a very strong start from the strategic agreement with Holland Casino in the newly regulated Netherlands market helps contribute to the stellar growth in the half, illustrating the significant growth opportunities of newly regulated markets. There is also a strong growth seen in other markets, including Italy, Poland and Spain. The U.K. business saw a revenue growth of 7% with the reopening of retail sites, partially offset by a slowdown in the online business caused by the inserting regulatory climate. Unregulated markets, excluding Asia saw flat revenue growth versus H1 2021, with a good contribution from Brazil as that market prepares regulation, offset by Germany moving into the regulator segment. Turning to slide 10, I will look at the performance of the Snaitech business compared to prior years. The details of the smaller components of our B2C division, I’ve added those in the appendix. This was an excellent performance by Snai in the first half and what is now a structurally different business post-pandemic. Snaitech saw revenue growth of 182% compared to the same period last year, with EBITDA growth of 154%. While these growth rates have been distorted by the impact of the pandemic in the period, I want to highlight a couple of points. First, as you can see, the online business remained broadly stable with revenue declined only 5% in H1 this year despite retail shops being opened for the whole of H1 this year. Secondly, adjusted EBITDA margin in H1 was significantly higher than pre-pandemic levels, illustrating a structurally different business we now see where the high margin online business makes up a much greater proportion of Snaitech. Moving on to slide 11, the cash disclosed on the balance sheet is €681 million, but some of this, it includes client funds. Adjusting for this, the balance is reduced to €556 million (six) [€545.6 million] and then deducting a further €80 million that is needed for operation, this is with available cash on the balance sheet of €466 million at the half year. This has been further enhanced post the half year with net proceeds from the Finalto sale, part of which was used to repay the remaining balance of the RCF. Taking all this into account, we have now an undrawn RCF and cash that we had deployed of €517 million. Turning now to slide 12, we will look at our balance sheet. As always, we take a prudent approach to our capital structure and leverage. Our balance sheet remains in a very strong position, supported by the strong cash generation in the half with adjusted operating cash flows of €217 million. There was a further cash inflow post period end, as I’ve just mentioned, with the completion of the Finalto sale, and then we took -- and really took the decision to repay the remaining balance on the RCF. The Finalto sell reduce leverage further with the net debt-to-EBITDA falling well below 1 time, which gives us flexibility in managing the business going forward. Our €530 million bond, which is maturing in October 2023, we’ve begun the refinancing process, as well as looking to extend our RCF. Finally, at last results, we talked about the significant increase in fair value of the options related to our strategic agreements in LatAm and we’ve seen a small increase in the valuation of these. Finally, on slide 13, I will discuss current trading outlook. We’ve seen a strong start to H2 2022, with the business continuing its momentum from the first half of the year. The performance continues to be driven by both our B2B and B2C businesses, and looking to the rest of the year, we expect the momentum in both B2B and B2C continue. While the business continues to perform very, very well, we remain mindful that the macroeconomic outlook remains uncertain, particularly taking into account the strong start to the -- strong performance in H1 and the momentum into H2, the Board is confident of Playtech’s prospect.
Mor Weizer: Thanks, Andy. Moving on to slide 15, I’d like to lay out our strategy for both the B2B and B2C divisions that will help to deliver revenue growth and expand margins. Starting with B2B, we outlined three objectives. Firstly, we want to extend our lead in regulated markets. Secondly, we have made significant investments across attractive parts of the business, namely Live Casino, SaaS and Managed Services. It’s time to harvest this to drive revenue growth with good operating leverage. And finally, we want to concentrate on the B2B business, driving efficiencies, the benefits of which we can utilize across other parts of the company. For B2C, we want to capitalize on the market leadership position that Snaitech enjoys in Italy, and drive further organic revenue and EBITDA growth. It’s no secret that HAPPYBET has been underperforming. Having now moved the operations to reside under the Snaitech management team, we expect to see the business improve going forward. Given the flexibility of our balance sheet and potentially attractive opportunities both within Italy and the rest of Europe, we would consider targeted M&A to expand Snaitech and leverage the B2C expertise that we have running that business. And we expect all of this to be achievement of duplication and only focus on areas that are truly strategic to the business. This will be done with a view to reallocating resources and targeted investments to help us achieve the first objective of extending our lead in regulated markets while ensuring appropriate cost base. On to slide 17, where I will talk through our strategy for the U.S., where we have been laying the foundations for future growth. We estimate that the total market opportunity in the U.S. is around $3 billion of annual revenue for B2B players. This figure excludes what could be generated through structured agreements. We see opportunities across all our products, but our focus will be on key strengths in Online Casino and Live, while we will also pursue sports betting opportunities in key strategic deals. We are confident that it is early days in the U.S., particularly as it relates to iGaming. 30 states have legalized sports betting so far compared to only seven for iGaming. The revenues from sports betting activities are roughly the same as iGaming. However, the tax revenue generated from iGaming in just these seven states is nearly double that of the tax revenue generated from sports betting in 30 states. This is ideal for Playtech as iGaming is one of the company’s biggest strength and have been putting in place the foundations in the U.S. to ensure we can benefit when further states legalize iGaming. We have signed multiple multi-state deals with key operators and we will continue to sign more. That’s not to say we will ignore sports betting because we simply won’t. We see sports betting as strategically important for key partners in the U.S. who want a comprehensive offering from a single provider. Now on slide 18, moving on to LatAm, where we have previously talked about how our success in this region is based on delivering on our structured agreements. The blueprint for these structured agreements is Caliente in Mexico. The idea is to select a dominant partner in a country with favorable market dynamics and look to grow with that partner as the market grows. The results with aligned incentives can be spectacular. Revenues within Mexico, the majority of which is with Caliente, have grown at a CAGR of 72% between 2015 and 2021, and Caliente now represents our largest customer measured by revenues. We expect growth to continue in the years ahead, although clearly, the growth rates on this slide won’t be realistic going forward given the scale of the business. The attractive economics of a structured agreement, which typically include both a revenue share and an additional service fee component mean that the incremental profit margins are very high. These structured agreements typically include an option to convert the service fee component into equity, thus achieving additional flexibility to crystallize value, particularly in the event of a corporate transaction. On slide 19, we highlight the other countries in LatAm, where we have other structured agreements and also some figures to highlight the potential size of the opportunity in the region. Revenues from Wplay in Colombia have been accelerating since its migration to Playtech technology in late 2020 and we expect this business will be a significant contributor to our revenues going forward. We are extremely excited about the Brazilian market, given the huge addressable market in the sports med country and the structured agreement we have signed with Galerabet. As with the others, the Galerabet agreement includes the customer software license agreement, as well as an option over a significant non-controlling equity stake in the operation. Our structured agreement with Tenlot, Red Cross brings exclusivity in Costa Rica and we are operating under the only license available there. During 2021, we launched in Costa Rica and also launched our structured agreement in Panama with Onjoc under the brand Betcha. Looking ahead, we are focused on executing these opportunities to drive growth in the region and see further potential opportunities in Chile and Peru. We view Europe as a region that still contains several markets that are either regulating or underpenetrated where Playtech can take full advantage. I’d like to talk you through an example of a newly regulated market that excites us where Playtech is well positioned, the Netherlands. The Netherlands, a top 10 market in Europe launched its online market at the end of 2021. Holland Casino is the state-owned operator there with 14 casinos across the country. To coincide with the online market opening up, we launched our exciting new strategic agreement with Holland Casino in the race for market share in the Netherlands. We are providing a full turnkey offering, including our IMS platform, all products and services, such as marketing advice and CRM services. And we are off to an impressive start, Holland Casino was the biggest driver of growth by customer in H1, surpassing our internal expectations. With a 20-year agreement for our software, as well as a 10-year agreement for services in place, this is just the start of a long and prosperous relationship. Over the next two slides, we give further detail on how we intend to monetize the significant investments we have already made particularly in Live Casino and SaaS. I’ll start with Live Casino. As you are familiar with, Live Casino is an extremely attractive vertical that we expect to continue to grow significantly over the coming years. This is driven by two major trends. Firstly, there is a shift to online from retail as the world digitizes and this is accelerated due to the pandemic. Secondly, within online, there is a growing trend away from RNG towards Live, as players want more of an interactive immersive experience, which we expect to accelerate driven by technological advances and new products. The combination of these drivers means the industry -- that industry analysts predict the Live Casino market to reach $18 billion based on GGR by 2025, up from $6.9 billion in 2021, a CAGR of 28%. And we are seeing strong growth within regulated markets such as the U.K. and Spain. But more importantly, we are well positioned in extremely attractive regulated markets like Brazil and the U.S. And we have already made significant investments to capitalize on this attractive product vertical. We have 10 studios currently operational with a further one in Pennsylvania under construction. The latest one to open is in Peru, which was launched earlier this year and will help us to support growth within the attractive LatAm region and particularly Brazil. We have more than doubled the number of tables over the past four years. We have invested heavily in the latest cutting-edge technology. We have invested in buying branded gaming rights such as Jumanji and these investments have already been made. Also, I remind you that the nature of Live Casino business, the model is such that additional players can be added to tables at minimal cost. This means there is a significant operating leverage and leads to Live Casino being margin accretive to the overall B2B division. Turning to slide 22, you will recognize the pyramid that I have used previously to illustrate our go-to-market strategy and how we empower B2C companies around the world. This shows how the various business models of Playtech address the needs of any type of operator across the world. I want to focus on the bottom of the pyramid and the SaaS platform, which we soft launched in 2019, and since then the success has far surpassed our expectations. We see SaaS as helping to serve two purposes. Firstly, there are many operators across the world where a comprehensive strategic agreement or conventional license does not make economic sense given implementation costs. We can address this by offering a plug-and-play type SaaS model where operators can easily access our platform and products under the same commercial model with limited implementation costs. This significantly expands our addressable market. Secondly, the SaaS model is not only targeted at small midsize operators. It is also used to provide a low-friction method of exposing as many operators as possible to the Playtech technology. Once a foot in the door is achieved, it can be much easier to cross and upsell to other Playtech products. For customers, this offering means much lower overhead costs given IT infrastructure costs are borne by Playtech. And implementation and customization time is reduced, also reducing cost for the customer. From Playtech’s perspective, SaaS is an attractive business model. Given the investment has already been made there is high operating leverage, which ensures its set of operators of different types in different countries. Playtech has been building out the infrastructure for its SaaS business since 2017, including data centers in local markets and it has added over 300 brands since launching the SaaS platform. While revenue from the SaaS business has been growing strongly, the revenues from each operator represents a very small proportion of their wallet. Thus, there is ample scope to increase wallet share amongst these existing customers. Given the high operating leverage and investments already made, this will be margin accretive and drive higher return on capital employed. Moving to slide 23, where we outline our medium-term strategic priorities for the B2C division, drive further organic growth at Snaitech, execute HAPPYBET strategy, targeted M&A to expand Snaitech. Given that we have the investor events straight after this presentation, I don’t want to steal Fabio and the team’s funder. So I’ll just briefly touch upon the key few points. Italy is one of two largest gambling markets in Europe and we have a gem of a business to take advantage of this significant opportunity as we look to extend our leader. We’ve talked in the past prior to the pandemic, about the hugely underpenetrated online segment in Italy and you could see it in Snaitech’s numbers, in H1 2019, online represented only 25% of Snaitech EBITDA and only 12% on a revenue basis. Fast forward to today and those percentages are remarkably different. At the EBITDA level, it’s over 50%, and on a revenue basis, it’s 26% in H1 2022. While there was an ongoing shift to online prior to the pandemic, this has been hugely accelerated as a result of COVID-19. And the result is a fundamentally sounder business. Snaitech is not only a higher margin business, but also a less capital-intensive one. And what’s more is that online penetration in Italy is still only around 25%, with the mature U.K. market having online penetration north of 60% -- 50%, there is ample room for the higher margin, less capital intensive online business to continue to grow in the years ahead. With Snaitech’s strong brand and leading online offering, it is ideally positioned to capture this opportunity. I’d also like to take this opportunity to highlight the strength of Fabio and the rest of the management team to transform the Snaitech business post-pandemic into a much higher quality business in such short space of time is remarkable. You’ll get to hear much more about Snaitech and the rest of the B2C division at the investor event that follows straight after the conclusion of this presentation, including how they will achieve their new medium-term EBITDA target of €300 million and €350 million. Four years ago, by the way, it was €180 million. Now turning to slide 25, we continue to deliver on our sustainable success commitments and aim to continue leading our industry when it comes to ESG. Starting with governance, last year we created the Sustainability and Public Policy Committee tasked with providing challenge and oversight on sustainability matters at the Board level. This committee has already met diversity, equity and inclusion. We introduced new targets for senior management at the end of 2021 and we continue to accelerate progress on gender diversity in leadership levels of the organization. On the environment, we have committed to the science-based target initiative to also strengthen data disclosure reporting and the approach to carbon reduction through an environmental working group. On safer gambling, we have state limits gambling digital tools and tools and strategies used by players to manage their gambling. Finally, as discussed at the beginning of the presentation, we are providing long-term assistance for Playtech employees and their families that have been clear that I don’t see sustainability as a box-ticking exercise. For our industry to continue to thrive, it is vitally important that all stakeholders made have been made [ph]. On slide 26, I want to [inaudible] in H1, which drove adjusted EBITDA of €204 million. The results highlight that geographic diversification will continue to drive top and bottomline growth for the Group in the years to come. We have a flexible approach with different business models, which mean our B2B business can serve any operator in the world. In Snaitech, we have an amazing company with one of the leading B2C management teams in the world and we will continue to grow this business towards its medium-term EBITDA target of €300 million to €350 million. And finally, I want to remind you of two investor events where we get to highlight the multitude of growth opportunities that exist across Playtech. You won’t have to wait too long for the first one. The Snaitech management team will showcase the strategy and incredible growth potential of the business straight after this presentation. The second investor event has been provisionally scheduled for December 1st, where the focus will be on the B2B segment, where we will focus on the growth opportunities in the Americas. Andy and I will now take any questions. Thank you.
Q - James Wheatcroft: Good morning. James Wheatcroft from Jefferies here. Two if I may, please. Firstly, can we have an update on sort of capital allocation. You’re obviously running quite low leverage at the moment. So just to give us an idea around some of priorities, you talked about M&A, but cash returns, et cetera? And secondly, just in terms of the statement in the media, maybe it’s a question for the Chairman. You talked about realizing shareholder value. I wondered whether you could give us an update on how that’s progressing, please?
Andy Smith: Well, I’ll take a couple of allocation one gives you, you have been thinking about yours. It’s okay. So in terms of -- as you point out, I mean, we have fantastic position with leverage, and actually, if you look back to where we’re in the middle of the pandemic, I mean, I think, everyone’s leverage, but our -- ours was at about 2 times and I’ve got, say, both had medium -- both had a target of 1 time to 1.5 times, while it’s sensible level see go down below 1 time is -- it wants is very satisfied. It shows cash generation flow through the business. Look, the first priority is, we need to refinance our bond. Clearly, we’ve got cash available. So we want you to take on the same size as before, which is nice. Once we’ve got that out of the way, and I think, once we see the business continue to perform strongly, then we can obviously think about the allocation of capital, be it maybe investments in the business and it may also be shareholder returns as well. I think we’ve probably got to, let’s say, we probably go not to play with. 
Mor Weizer: Okay. I mean, yes, we committed, I think, during the period of the bids that if it fell away, we would do everything we could to ensure that value creation was actually realized and we’re still committed to that. We have investigated every opportunity that there is to create value, and we did look and we’ll still look and review the opportunities for Snai. As you’ve seen, the actual trading and the growth of Snai means we’re under absolutely no pressure to actually realize the value there, but we will continue always to appraise what is available. And if there is an opportunity to realize that value and to be able to give shareholders that value back, then we will do so. So we’re still committed as a Board to look at realizing value. At this moment in time, we don’t think the markets are right and we are under absolutely no pressure to do anything to try and give that value back at the moment. You’re getting -- the company is in rude health. It is trading exceptionally well. All divisions are great. You’re looking at a business which has got a really good robust future, and therefore, I think, returning value -- we can return value to you by just ensuring our trading continues to be at the level it is now and growing. I don’t know if that helps.
Brian Mattingley: Dave?
David Brohan: David Brohan, Goodbody. Hey. Just one question, it’s around the U.S., the kind of B2B opportunity of $3 billion that you referenced. Can you give any kind of color in terms of split between sports and casino and as population coverage, number of states, et cetera? 
Andy Smith: Do you mean in terms of on the like three years, five years, as you...
David Brohan: Yeah. Just in terms of your assumptions and...
Andy Smith: I mean -- well, I’ll give the financial numbers. Mor will give some color after that. I mean, I think, clearly, I’m not going to give any targets at this stage, but I think everyone would be pretty disappointed if we were did it run on a revenue basis into the 100s. And on an EBITDA basis, obviously, probably, split to 200, frankly, on a medium to longer term view. I think it’s across the Board. I mean, Live -- I wouldn’t want to be too specific about this, because it could come from any angle, because of our product software. I think Live is probably going to be the single biggest, because I think it’s -- we’ve got a fantastic offer it, and obviously, we’ve got to hit the covering on that. That said, there’s going to be, clearly casino -- the Live Casino is going to be very strong. Sports is obviously going to be huge. Also the IMS, some of the IMS could be very, very strong as well. So, actually, it’s nice to have many different levers to pull on.
Mor Weizer: Dave, if I may, just kind of a snapshot to where the market is. So it took the market. The market was regulated sometime in the beginning of 2011, started in New Jersey, and it took it eight years probably to get to $850 million, right? You fast forward 2019, when PASPA was repealed to 2022 or 2021 event, it’s a $10 billion market. So, obviously, $10 billion market within three years after eight years in New Jersey that was -- well, the operator generated less than $1 billion. And it just outlines the opportunity, but add on top of the fact that the $10 billion market that we currently see in the U.S. is half sports betting and half iGaming. If you further dwell into that, the $5 billion in -- from sports betting is driven by in 30 states versus the factor six states in iGaming, because Nevada only offers Poker, which is a very, very small business compared to other iGaming -- compared to iGaming revenues generated elsewhere. When you then think about the taxes I indicated earlier, if you look at the tax generated for the states in 2021, again, 30 states generated $5 billion and generated $5 -- approximately just below $500 million of tax revenues. At the same time, six or seven iGaming states, one that does not include the casino contributed or generated $5 billion of revenues and $1 billion or approximately $1 billion in taxes. So when you think about where the market is headed, 30 states versus five -- versus seven states, you fast forward three years to five years, the $3 billion opportunity, something that we outlined in previous presentations, I think, that it’s also included in the appendix where we calculate the majority of which, as far as we are concerned and the way we think about it is medium longer term -- it’s based on medium longer term. The market is expected to grow from 10% to 40%, some will say 65%, if you look at the WynnBET presentation, for example. So, obviously, when we think about the U.S., we think about a massive opportunity. We see evidence we see in the data. We have evidence to showcase that the tax revenue generated should act as or should be an incentive for further stages to regulate and we see that the activity will predominantly be driven by Casino and Live Casino, which is where we excel. We also have evidence and this is extremely important with the customers that we have currently in the U.S., that the content that Playtech has in the U.S. is as popular as the rest as outside -- as the popularity outside of the U.S. As a matter of fact, actually, it’s even better. So we know that we have the right products. We invested into two Live Casino facilities in Michigan and New Jersey. As I indicated earlier, we laid a foundation for a third one in Pennsylvania. New Jersey just changed its attitude towards Live Casino and will allow streaming the Live Casino activity from New Jersey across the U.S. and outside, which is quite unique and quite new for us as an industry, and obviously, it’s cited in the right direction. As I said, we lay the foundation and the opportunity is a massive opportunity for us. 
Andy Smith: One thing I would just add, by the way, is obviously, I gave just as a pure B2B opportunity, it’s how our expenses go. There’s obviously always a possibility that we do something out of more structured level.
David Brohan: Okay. Thanks, guys.
Brian Mattingley: Simon?
Simon Davies: Simon Davies from Deutsche. Three from me, please. Firstly, can you give a bit more color on what you’re seeing in the U.K. market? You talked about 7% growth in the first half. I presume a lot of that is down to reopening of retail. So what trends are you seeing in online and are you seeing signs of stabilization after the ramp-up in affordability checks? Second was just on Live, are you gaining market share in the Live Casino market? Can you talk a bit about table numbers and your target for the year end, and are you seeing any evidence of tougher competition on pricing in the Live market? And lastly, you alluded to M&A opportunities possibly in the B2C space through Snaitech. What kind of criteria are you looking at? What kind of size deal want -- might we see there?
Mor Weizer: I will split them. You take the first one. I can talk -- you take the first one, the U.K. and the numbers and I’ll take the rest.
Andy Smith: Okay. I will say is -- I’ll do a bit of the Live actually as well and the numbers as well.
Mor Weizer: Okay. Go ahead.
Andy Smith: So I’ll highlight all of them. So in terms of the U.K., I mean, if we just go back a little bit. Firstly, the last couple of years, our U.K. doubles have been distorted by, I will say, as you know, because that’s dropped out. So that’s why we posted the numbers separately. As you know, I do feel like a broken record on this and I sounds like defensive, but it’s -- I’m relatively go for the U.K. market, and obviously, our strategy means that whilst the U.K. is an important market and it generates low cash, it is not going to be the growth driver going forward. So, frankly, while it gains a lot of attention at the media level for as a business, frankly, whether if our U.K. business was at plus 5% or minus 5%, it doesn’t really make that which of a difference. It does get people excited. In terms of what we saw, it -- that’s 70%, you’re right, Simon. That’s not a real number. And the real number is probably negative. It’s difficult to sort of strip it, but that’s -- and normalize it. But if you -- I think there’s no doubt about it, if you look at the results of all the BT guys who obviously our numbers reflect their numbers, they’re finding it tough at the moment. So I don’t think I’d want to comment to the extent I’d say it’s stabilized. I’ve always been bearish. So I’ve not quite there yet, we might give a more bullish answer. And do you want to do that and then I’ll do Live?
Mor Weizer: Yeah. f course, I only just want to basically refer to what some of the operators refer to. I think that the decline or the pressure on the U.K. market is driven by the expected regulatory changes and it’s driven by the fact that operators voluntarily took actions and implemented certain policies internally to do with affordability and stake limits ahead of the gambling review and the outcome of the gambling review. So this is obviously a factor that had an impact on the operators. The second is obviously the natural shift back to online. The U.K. was already a very mature market when the pandemic erupted. It was -- the online penetration was already 50%. I mixed it 50% and 60%. During the pandemic, it was more than 60%, which is not as natural, and therefore, it went back soon after the pandemic or in recent months from 60% penetration to 50% penetration as people went back to retail and this had an effect on the U.K. market. I do believe that going forward, the U.K. has an opportunity to continue to grow, albeit from the base we see now a lower base on the back of the regulatory changes, the expected regulatory changes. But still after that -- after they will implement all their policies and after the gaming review, will be introduced and they will implement all the policies necessary to comply with that, we will see further growth in the U.S. -- in the U.K. and the U.K. remains very, very important for the industry altogether. And it is important to remind everyone that because it almost acted as a bicorn for many, many regulators worldwide that looked at what happens in the U.K. and U.K. operators did very, very well in the U.K. Our experience by the way after the taxes were introduced, and before that, when the 4Ts [ph], when there were changes to the 4Ts and when the owner regulations were introduced, there was an impact on the market, but then it continued actually resumed growth from a lower base and we expect it to be the case, I mean, now as well. Yes.
Andy Smith: Second on Live, on Live, I think, there’s a broader point. So I think the answer is, yes. I think we are taking market share. However, let’s be honest, that become that we uses even [ph] and that numbers remain very strong. What I would say, however, is that, for more important than our growth numbers in Live are -- is the quality of that growth. So if you look at our growth this year, it’s -- none of it is really going to be from Asia. In fact, Asia has gone very slightly backwards broadly flat. However -- and so there’s only -- with the exception of one market, which I’ll talk about in a second, every bit of it is very high-quality regulated, it’s across Europe. It’s -- this Holland Casino we mentioned, obviously, the America expects ramp up and that’s the key point. It’s quality. There’s only one country that’s really driving Live is unregulated at the moment and that’s Brazil. But, obviously, I think that’s a pretty exciting regulated market.
Mor Weizer: Yes. On pricing and on market share, I’ll start with pricing. We don’t see any pricing pressure. And as a matter of fact in newly regulated markets and including the U.S. and Canada, we see people do understand the importance of Live Casino, and therefore, are happy to pay handsomely to position themselves as best as possible in order to gain market share, because they understand that negotiating the last basis point on Live will not achieve the goal of gaining market share and having the right product or the best products as they penetrate the market. So, so far, we haven’t seen any pricing pressure. We don’t expect it to be the case. I remind everyone this vertical is very, very concentrated when it comes to the number of suppliers. You have the evolution, you have Playtech. You have Playtech and then evolution and you have a programmatic play and one or two smaller providers, but the number of choices are very, very limited, pragmatic currently, as far as I know, does not exist in the U.S. So in the U.S., it’s actually Playtech and evolution. And people do want to have a wide variety of choices for their customers and it makes sense for them not to negotiate the price, but achieve basically as an evolution of fierce competitors. So the pricing is pretty much similar, and therefore, I don’t see any one of us trying to dump the price just to basically because everyone will want both. And everyone and us, evolution and other companies do realize that operators will want a wide variety of choices, and therefore, we’ll probably take both products regardless. On market share, guys, I think, that it’s about time we say it. When you compare us to other companies, right, given where the industry is, we need to look at the data and actually measure apple-to-apple, right, apples-to-apples. It’s not the case with evolution and other competitors of Playtech. I will argue that in regulated markets, we take market share off of them and the other competitors we have. The reality of which, we decided not to operate with illegal operators, i.e., operators without a license in Italy, without a license in France that operate casino in France, without a license in Spain that operate in Spain. Our focus is on regulated markets and legal or operators that are low-binding citizens of the country they reside in and obtain a license that operate. Not to mention the fact that there was a note on one of our competitors, suggesting that they operate in sanction countries, which is something that is totally illegal. When you look and I’m not here to punish anyone, and by the way, we have evidence of that ourselves, because we looked at that after we were shocked by this report and we looked at it ourselves. But if you look at the -- on an apple-to-apple basis, you will clearly see that Playtech is taking market share and we have the largest market share in Spain, and we are as big as others in the U.K. and we are as big, if not bigger in Brazil, and we expect this case to continue and we expect this trend to continue, because we believe that we have a product, we will claim even better, but I can guarantee you not is a product that is as good as the others, probably, better. On M&A, you want to...
Andy Smith: Was it specifically in relation to Italy, you will mention in general.
Mor Weizer: No. Generally.
Andy Smith: Generally. I mean our approach to M&A has never changed. It’s -- we have very firm criteria, but it’s also quite opportunistic. And if you look at our record over the years, we’ve always done, let’s call it, nice little bolt-on ones, we call it, €25 million to €50 million or less. But if you look at the quick spins of this world, they’ve dropped in very, very nicely. In terms of anything, let’s call it, in the more -- the midrange, let’s call it, the €850 million from IGT fits in very nicely to that and then potentially there’s even bigger ones. But I think it’s -- we would look to do M&A potentially, it could be geographically for geographical reason. It could potentially be to for products or content. I mean it could even -- it -- we will not beat to see again potentially, but as with everything, it has to be a very, very, very compelling reason to do so.
Mor Weizer: Yeah. I just want to add one comment here. Just as a reminder for everyone, we completed the acquisition of Snai late 2018. 2019 was a year of integration. It was the largest -- by far the largest acquisition for Playtech, €850 plus million. We integrated it was B2C in Italy. We had to integrate it, create synergies, work together and we were very much focused on that in 2019. I do remind everyone we lost 2020 and half of 2021 because of the pandemic. We were in survival mode and the guys did an amazing job transforming this business from a retail-driven business to an online-driven business, as you will clearly see in the presentation that follows this one. Throughout this period, it was -- it generated a lot of cash alongside the cash we generated from B2B and we continue to reduce the net debt to EBITDA to below 1 time. I think that for the first time, we can sit here comfortably and say, we completed the integration. Playtech been an acquisitive company before. We are not going to be on an acquisition spree going forward. But for the first time after the pandemic and after we ended, and I remind everyone, in the last six months, it was not only just coming out of the pandemic stronger than ever, we have 750 employees in the Ukraine. I got a call in the beginning of the year and we couldn’t find some of our employees. So we developed software to track our employees so they can check in every day. So we can -- we know that they are safe and we can cater for their needs. And only now in recent months, we sat down, we had a strategy session with the management team a couple of weeks ago. We are going to have one with the Board. I think that for the first time after the integration year, pandemic, war in the Ukraine, we are in a position to say, we’re in a fantastic position in terms of the balance sheet and we are ready to take Playtech to the next chapter and we have the means to do that and very focused on that. We can do that in B2C. We can do that in B2B. This is not to say and people should not leave the room here today with the idea that Playtech is now going on an acquisition spree, going to increase the debt simply to buy business that is not the case. We use the word targeted M&A, needs to fit the strategy of Playtech. It needs to be the strategy of B2C, as well as B2B. But we feel that we are in a comfortable position to con -- to seriously consider that at this point in time and it gives a lot of -- potential can create a lot of value for Playtech in both its verticals, B2B and B2C.
Brian Mattingley: Maybe we need to stop there. Sorry, everybody again to ask your question. There’ll be more opportunity. We have that even later. Even for Mor and Andy, you have more questions for them and there’ll be time for that working now and that…
Mor Weizer: I know.
Brian Mattingley: We need to stop. There’s coffee upstairs on the second floor and then we’ll start back here at 10:30 with a sign back event. Thanks.
Mor Weizer: Thank you.